Operator: Good day and welcome to the Coca-Cola Enterprises' Second Quarter 2015 Conference Call. At the request of Coca-Cola Enterprises, this conference is being recorded for instant replay purposes. At this time, I'd like to turn the conference over to Mr. Thor Erickson, Vice President of Investor Relations. Please go ahead, sir.
Thor Erickson - Vice President-Investor Relations: Thank you and good morning, everybody. We appreciate you joining us today to discuss our second quarter 2015 results and our full-year outlook for 2015. Before we begin, I'd like to remind you of our cautionary statements. This call will contain forward-looking management comments and other statements reflecting our outlook for future periods. These comments should be considered in conjunction with the cautionary language contained in this morning's release as well as the detailed cautionary statements found in our most recent Annual Report on Form 10-K and subsequent SEC filings. A copy of this information is available on our website at www.cokecce.com. This morning's prepared remarks will be made by John Brock, our CEO, and Nik Jhangiani, our CFO. Hubert Patricot, President of our European Group, is also with us on this call this morning. Following the prepared remarks, we will open the call for your questions. In order to give as many people as possible the opportunity to ask questions, please limit yourself to one question, and we will take follow-up questions as time permits. Now, I'll turn the call over to John Brock.
John F. Brock - Chairman & Chief Executive Officer: Thank you, Thor, and we thank each of you for joining us. We are in our London office today, following our board meeting earlier this week here. As you've seen in our news release this morning, our results include comparable diluted earnings per share of $0.79. We also achieved 2% growth in comparable currency-neutral operating income. This operating income growth comes, as we continue to face the impact of a soft consumer environment. These conditions, coupled with cycling strong volume growth of 3.5% in the same quarter a year ago, were factors in the second quarter's low-single-digit declines in net sales and volume. We remain focused on managing each of the levers of our business effectively, maximizing our efficiency and seizing opportunities created by an ongoing benign cost of goods environment. In addition, we continue to seek ways to improve our growth outlook. Given these factors and our ability to adapt as marketplace conditions evolve throughout the year, we have affirmed our full-year 2015 guidance for both net sales and operating income growth and now expect diluted earnings per share at the upper end of our guidance range of 6% to 8%. We have confidence that our operating and marketing strategies activated by the skill and commitment of our people will enable us to achieve this guidance. Now, looking at our second quarter results, net sales declined 2% and operating income grew 2%, both on a comparable and currency-neutral basis. Our total volume for the quarter declined 1%. On a territory basis, volume in both Great Britain and Continental Europe decreased 1%. Importantly, while net pricing per case was down 1%, cost of sales per case declined 3%, creating gross margin expansion. Nik will provide more details on this in a few minutes. A key element of our volume results was the benefit of our ongoing brand innovation and expansion. Notably, Coca-Cola Life is now in all of our markets. Smartwater expansion continues throughout Great Britain and we recently took over distribution of Capri-Sun in Sweden and Monster in Norway. Overall, still brands grew 7% while sparkling brands declined 2.5%, with a decline of 3% for our Coca-Cola trademark portfolio. Despite this decline, Coca-Cola Zero continued to grow with volume up 2.5% in the quarter. We continued to achieve excellent results in energy, with growth of more than 15%, driven primarily by Monster brand. This reflects growth in existing territories and the new distribution in Norway. Now, as we move through the remainder of the year, our success will depend on our ability to continue to build on the benefits of innovation and to execute against a solid marketing calendar. Lower-calorie Coca-Cola Life is performing well and now represents more than 1% of our total volume. Smartwater shows excellent promise and helped our water portfolio grow approximately 15% in the second quarter. We've also expanded distribution of Finley in Sweden in addition to Belgium and France, giving us a presence in a new market segment. We continue to roll out our new one-brand strategy, which is an important step forward for our Coca-Cola trademark products. With this approach, every Coca-Cola can and bottle carries a unified look and retains the familiar signature colors, while clearly highlighting the different choices available with each product. This new strategy also brings together our portfolio as one connected program. As Coca-Cola's trademark theme has transitioned from Open Happiness, featuring one red bottle, to Choose Happiness, a brand family. And here in London, a new unique branding campaign is underway with Coca-Cola messaging on iconic buses and taxis and an occasional free Coca-Cola from a London cab driver. In addition, later this summer, the Rugby World Cup will be an important event for us. It creates significant market-based opportunities and includes customer programs, interactive consumer experiences and on-pack promotions offering a variety of merchandise, tickets and offers. We believe these solid marketing plans, coupled with the strong commitment of our people to executional excellence, will enable us to reach our full-year guidance. Now, before I close, I want to briefly review our work on corporate responsibility and sustainability. Last month, we launched a new set of sustainability commitments that embraced both environmental and social issues, with a stronger focus on promoting the well-being of our consumers. In addition to environmental commitments, such as reducing our overall carbon footprint by 50%, we are now committing to reduce the calories per liter across our entire portfolio by 10% by the year 2020. We've also committed to encouraging people to be physically active, targeting 3 million people across our territories. And we will support the skills development and learning needs of 250,000 young people every year. Each of our new commitments have been heavily shaped by the feedback and expectations of our stakeholders. We engaged in constructive dialogues with many community groups, NGOs, environmental organizations and public policy experts. As we move forward, sustainability will remain a critical pillar of our overall business strategy. And in fact, sustainability is essential to our success and our ability to achieve our primary goal, building shareowner value. In working toward that goal, we continue to move forward with our efforts to return cash to shareowners through a combination of dividends and share repurchase. As we have discussed, we increased our dividend by 12% at the beginning of this year and we're on track to repurchase $600 million of our shares by year end. Now let me share some closing thoughts. First, we have affirmed our current earnings per share guidance at the upper end of our growth range of 6% to 8%. Second, though the retail environment remains challenging, we believe there are opportunities for meaningful growth ahead. Importantly, we are working diligently to capitalize on these opportunities and to improve our growth outlook. Third, we have a solid strategic partnership with the Coca-Cola Company and a shared vision of the future of our business. And we continue to execute against our strategic priorities at every level of our business, clearly focused on our most importantly objective, that is, creating shareowner value. Thanks very much for your time. And now I'll turn the call over to Nik for more detail on our financial results as well as our full-year outlook.
Nik Jhangiani - Senior Vice President and Chief Financial Officer: Thank you, John. And we appreciate each of you taking the time to be with us today to discuss our second quarter results and outlook for the remainder of 2015. So on a reported basis, second quarter earnings per diluted share was $0.75, or $0.79 on a comparable basis. Currency translation had a negative impact of $0.18 per share compared to prior-year results. Net sales were $1.9 billion, down 2% on a currency-neutral basis. This reflects a 1% decline in both volume and net pricing per case. While the second quarter was our most difficult hurdle with respect to prior year's net sales growth, we are not satisfied with these top-line results. We continued to face a challenging macroeconomic and consumer environment. And as I indicated earlier, comparable and currency-neutral net pricing per case declined 1%. However, cost of sales per case declined 3%, still allowing for some gross margin expansion. For the quarter, comparable and currency-neutral operating expenses increased 1%. This reflects the continued focus on expense control, timing and prior-year comparables. More on our full-year operating expense outlook in a few minutes. Our gross margin expansion coupled with modest operating expense growth enabled us to generate comparable operating income of $289 million, up 2% on a currency-neutral basis. Now let's take a look at our 2015 full-year guidance. We continue to expect slightly positive net sales in operating income growth, with diluted earnings per share growth at the upper end of our range of 6% to 8% or on a comparable and currency-neutral basis. This refinement in our EPS guidance is driven primarily by share repurchase timing. We have already completed the repurchase of $500 million of our shares and we continue to expect full-year repurchases to total approximately $600 million. Currency translation will continue to impact our results, and based on recent rates, would reduce full-year 2015 earnings per share by approximately 18%. We also continue to expect 2015 free cash flow in a range of $600 million to $650 million with capital expenditures of approximately $325 million. While currency translation headwinds continue to impact free cash flow and capital expenditures, we are maintaining our outlook through efforts such as improving working capital. For 2015, weighted average cost of debt is expected to be approximately 3% and the comparable effective tax rate for 2015 is expected to be in a range of 27% to 28%. As we look at our 2015 guidance a little further, while prior-year comparables are a factor in year-over-year growth figures, there are a couple other items that should be considered. First, with the continuation of the current benign commodity cost environment, partially offset by the more challenging hurdles in the second half of the year, we now expect a full-year cost of sales per case decline of just over 1%. This has given us some flexibility to remain competitive in the marketplace this year. Now while we expect full-year pricing per case to be slightly negative, we continue to expect some gross margin expansion for the full year. Second, while we continue to focus on operating efficiencies, we expect operating expense growth to increase in the second half of the year given prior-year hurdles and expense timing. Notably, we had third quarter volume and expense declines a year ago, while this year, we will be executing our Rugby World Cup program in the third quarter. This is an excellent opportunity and we're excited about the activation of our GB and French teams that have been planned. And finally, we will again generate significant free cash flow equal to approximately 6% of our recent market cap. We continue to focus on cash generation and believe that over time, more cash will be available to return to shareowners or for a disciplined merger and acquisition activity. Given these factors, we have affirmed our guidance for full-year net sales and operating income. Further, we now expect earnings per share growth at the upper end of our range. Now, it's also important to note that we're focused on our commitments to our primary goal: creating shareowner value. Continuing to reach that goal requires success in several key areas. For example, we're committed to improving our growth outlook. It is imperative that we seize opportunities for growth, even as we work through the sustained challenges of the consumer goods environment. We're working diligently to accomplish this in a variety of ways including supporting the one-brand initiative for Coca-Cola trademark products and executing against strong marketing initiatives such as the Rugby World Cup. Additionally, we're driving growth through brand and package innovations, such as Coca-Cola Life, Finley and smartwater and expanded distribution of Monster and Capri-Sun. This challenging environment also means that we must continue to successfully manage the levers of our business to deliver value. From maintaining a flexible capital structure to maximizing the effectiveness of our supply chain, our success depends on our ability to operate at the highest levels in each of the areas of our business. In fact, we remain confident that we have the growth opportunities, the right strategies and the best people to succeed over the long term. We believe these assets, combined with solid innovation, operating effectiveness and financial stewardship will enable us to achieve our most important goal: creating shareowner value. Thanks for your time. And now John, Hubert and I will be happy to take your questions. Operator?
Operator: Thank you. Our first question comes from Kevin Grundy with Jefferies. You may begin.
Kevin Michael Grundy - Jefferies LLC: Hey. Good morning, guys.
John F. Brock - Chairman & Chief Executive Officer: Good morning.
Kevin Michael Grundy - Jefferies LLC: So my question, John, is on marketing spending and pack sizes. We just recently met with Coke's management team. So while Europe is behind the U.S., they talked about increased marketing spending going into place. They also talked about an increase in smaller pack sizes. Can you give us an update there and then sort of frame maybe the potential lift that we could see to volume growth as a consequence of that increased marketing spend and then maybe walk us through broadly sort of the pricing strategy here, and understanding it's a deflationary environment there in certain parts of Europe, talk a little bit about the pricing strategy in addition to maybe when we should see mix get a little bit better as well? Thank you.
John F. Brock - Chairman & Chief Executive Officer: Let me make a macro – couple of macro comments, and then Hubert can give you some details. We and Coke have a plan this year that we're excited about. And particularly, as we've been focusing on some of the markets that we really wanted to get moving again – Great Britain and the Netherlands – in both of those, we have really put in place, we think, programs aimed at greater marketing investment as well as some really strong promotional programs. We also have been focused on a more comprehensive set of packaging sizes and particularly, smaller pack sizes. So that's been pretty much the case throughout our business, which I think is consistent with what you've heard from the Coca-Cola Company. Let me ask Hubert to comment a little bit more specifically then on the pricing strategies.
Hubert Patricot - Executive Vice President and President, European Group: Yeah. And maybe on the first part of your question, marketing spending, yes, we are seeing an increase of the marketing spending in our territories. And it would be the case also in the quarters to come, driven strongly by the one-brand campaign, which will go on a full speed as well as the Rugby World Cup, so we see an increased marketing investment in our territories and this is good news. Regarding the small pack, we are pushing and you know, we started years ago, the 250 ML cans, but it's a small pack, but we want it also to be affordable in the current context. At the same time, we are pushing more value small packs like the iconic glass bottles, which is especially the case here in GB. We used to be much more fountain-driven in the (19:11) off-licensed and licensed trade. We are pushing now the iconic bottles and it's true for all our territories, leveraging in particular the 100th anniversary of the contour bottle. So this you will see continuing and this is value-accretive in our mix. Regarding the strategy, we have a balancing act between our promotional investment and also regular pricing. We are focusing a lot on the small basket incidence at full price, but at the same time, we want to be competitive overall on our large packs in the market in view of the consumer and shopper behavior which they are still under some constraint in term of spending. And frankly, the arbitrage is still not in favor of food and beverages. Having said that, I think we have easier comp to cycle moving forward into the second half in term of pricing, and this is what we want to achieve.
Kevin Michael Grundy - Jefferies LLC: Okay. That's helpful. Just one more quickly for Nik on the buyback. Is it safe to say you're erring on the side of conservativism with respect to the guidance here given that there's not much left here or you pretty much met what you're guiding to for the year?
Nik Jhangiani - Senior Vice President and Chief Financial Officer: So, Kevin, as you might recall, we provided our outlook on share repurchases in December of 2013. And since, then currency translation rates really worsened pretty significantly, probably about 10%. So as our result, our full-year outlook for EBITDA and free cash flow have been negatively impacted by that. We also have U.S.-nominated debt and our net debt, thus, has been negatively impacted. So I think with sticking to our commitment of doing the $600 million in share repurchase, we looked at ways that we might be able to mitigate some of that and so we did change the timing of that slightly to be more front-end loaded. So I think we've done the $500 million, we remain committed to the $600 million for this year and that's all I can indicate at this point.
Kevin Michael Grundy - Jefferies LLC: Very good. Thank you, guys.
John F. Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. Our next question comes from John Faucher with JPMorgan. You may begin.
John A. Faucher - JPMorgan Securities LLC: Thanks. Just a quick question here, which is, we're obviously dealing with a lot of the diet situation over here in the U.S. And it seems as though you're not seeing that happen over there. Can you give us a little bit of a view in terms of what's the potential with the diet side of the piece given the fact that it's under-developed? And are you seeing any of the negative PR that we've seen in the U.S. coming over to Europe? Thanks.
John F. Brock - Chairman & Chief Executive Officer: Yeah, again, a broad comment. I think one of the things that's helped us here is the very factual statement that the European Food Safety Authority made some 18 months ago, which is that aspartame is safe. And that's been a very meaningful statement for governments, for regulatory agencies and it's actually translated into some changes in consumer thinking. So do we have a group of people here who believe throughout all of our territories that there's some issues with non-nutritive sweeteners? And the answer is yes. I think broadly speaking, we're in a better position than in some parts of the world like the United States. And broadly speaking, again, our low-calorie and no-calorie products here, generally if we look at them over an extended period, are growing, which is encouraging. And as we look to the future, we think you're going to see low-cal and no-cal products becoming an even greater part of our business. We've launched a pledge as part of a new sustainability program around calorie reduction per liter in our products over the next several years, a very significant reduction. And, again, the only way to get there is to have our low-cal and no-cal products grow. So we've taken some very active steps with UNESDA, which is our trade association here, and Hubert Patricot of course is President of it. It's become a much more aggressive and active organization to make sure, again, consumers and governments know the facts and the truth around the safety of these ingredients.
Hubert Patricot - Executive Vice President and President, European Group: John, we clearly see the diet colas or the light colas are the growth engine moving forward, driven especially by Coke Zero. And we think the current portfolio we have now including Coke Life is the right answer to the different shopper behavior and attitude. And, again, the investment I was mentioning from The Coca-Cola Company will be other spend (24:06) on the diet cola piece of our business.
John A. Faucher - JPMorgan Securities LLC: Okay, great. And then one other follow-up on that, which is, in the U.S., we tend to see a little less price sensitivity on the diet and light portfolio. Consumers may be a little bit more brand loyal. Is there any difference in the pricing outlook for diets and lights versus regulars, and could that help solve some of the pricing problems?
Hubert Patricot - Executive Vice President and President, European Group: No, in general, it's pretty line price in our market.
John A. Faucher - JPMorgan Securities LLC: Okay. Great. Thank you.
John F. Brock - Chairman & Chief Executive Officer: Thank you, John.
Operator: Thank you. Our next question comes from Judy Hong with Goldman Sachs. You may begin.
Judy E. Hong - Goldman Sachs & Co.: Thank you. Hi, everyone.
John F. Brock - Chairman & Chief Executive Officer: Hi, Judy.
Hubert Patricot - Executive Vice President and President, European Group: Hi, Judy.
Judy E. Hong - Goldman Sachs & Co.: I guess just in terms of the concentrate pricing agreement that's expiring at the end of the year, obviously we haven't gotten any update on that issue. So just wanted to get a little bit more color just in terms of are there dialogues stepping up as you get closer to setting the budget for next year? If nothing happens, does it just automatically get renewed for the following year? And from your perspective, what are some of the elements as you think about potentially changing some of the elements that you want to see in that contract?
John F. Brock - Chairman & Chief Executive Officer: Let me ask Nik to comment on that one. He's the one driving that program with us.
Nik Jhangiani - Senior Vice President and Chief Financial Officer: Sure. Judy, so firstly, in terms of your question, if nothing was to happen, yes, the contract would just continue. So there's no risk to the business in terms of a standstill or an issue that we would face. But having said that, we have been having dialogues with them, and I think it continues to be very constructive. We are focused on trying to improve operationally what we can both get in terms of better alignment out of the concentrate incidence pricing mechanism. And an example of that that I think I've highlighted before is we do have this 12-month to 18-month lag, which isn't necessarily great in terms of alignment to drive the right behaviors in the marketplace at the right time by both parties. So, one of the things that we're looking to do is move that to a real-time incidence. So same-year incidence, what we are able to achieve in the marketplace, that's what The Coca-Cola Company would benefit or would be hurt from. But we would both adjust real-time, so that's a real practical example of something that would drive more alignment. So, we've got some funding, we'd like to be able to net off, so we don't have those dialogues and it's all a part of the concentrate pricing. We'd like to look at a few incidence rates to make it more simple. So all in all, I think the dialogue is very positively constructed towards having better alignment. And again, we'll provide you an update at the right time. But I would say from your angle or anybody's angle, things are continuing to move in the right direction.
Judy E. Hong - Goldman Sachs & Co.: Okay, that's helpful. And then Nik, if I can just follow up on your cost guidance, a little bit more color just in terms of what drove the favorability in the second quarter and the potential for the second half, it sounds like it does moderate in terms of the favorability in the back half. What drives that in the back half?
Nik Jhangiani - Senior Vice President and Chief Financial Officer: Sure. I would say in particular, two factors in the second quarter. One was the fact that we did have easier comps from a timing perspective when you look at some of the benefits that we had coming through. More importantly, also I think we continued to see some benefits from the lower oil prices. And keep in mind, that has a direct correlation for the most part to PET prices, although there are other factors, such as paraxylene and other supply-demand issues. We have had some benefits from that. I think we do expect to see a continuation of that benign environment for the rest of the year, but it is more challenging hurdles in the second half of the year. So keep in mind that if you think about some of the sugar benefits that we've seen, we already started seeing some of those benefits towards the latter half of last year. So it's really about comps. And I think that gives us today comfort that we should be able to deliver a full-year cost of sales decline of just over 1%.
Judy E. Hong - Goldman Sachs & Co.: Okay, got it. Thank you.
John F. Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. Our next question comes from Ian Shackleton with Nomura. You may begin.
Ian M. Shackleton - Nomura International Plc: Yeah, good afternoon, John and team. You referenced quite a few times the one-brand strategy, which clearly you seem to be pretty happy with. I'm wondering if you can just give us a bit more detail. My understanding is that that started in GB and obviously been very visible in advertising. And has it rolled into your other markets and what has been – have you got any sort of consumer reaction to that yet?
John F. Brock - Chairman & Chief Executive Officer: Well, let me just say, Ian, that yes, it's in all of our markets and it's being executed very consistently across all of our markets. So as you said, you've seen it here in GB. It's very visible. We're excited about it because I think it's a way of really communicating trademark Coca-Cola in a more effective and a more efficient way across all four products and giving consumers choice. It's early days. We rolled it out starting on May 12. But I think it's fair to say that we and The Coca-Cola Company are pleased with the results we've seen so far.
Ian M. Shackleton - Nomura International Plc: Thank you.
Hubert Patricot - Executive Vice President and President, European Group: You could see the impact it's having in France, but also in GB in term of brand impact. What we see, which is very valuable and was very well received by our customer, it's a very simplified and impactful choice between the four variants of The Coca-Cola trademark. And too early, as John said, to totally measure the impact with the household penetration, which is the objective and with the sales in general, but we are pretty encouraged by the beginning and the first feedback which are, I would say, more qualitative than quantitative.
Ian M. Shackleton - Nomura International Plc: Very good. Thanks for that. And just a quick follow-up. Obviously reports this week around Tesco tightening up on added sugar, kids' drinks and obviously Capri-Sun was mentioned. But I don't mean comment on that specifically, but are you seeing increasing pressure on some of the portfolio, not just from regulators, but there from retailers in that example?
Hubert Patricot - Executive Vice President and President, European Group: Ian, as a matter of policy, we don't comment on our relationships with specific customers. That said, we at CCE provide a broad portfolio of products to meet the needs of end customers including, you mentioned Capri-Sun, a no-added sugar version of Capri-Sun which is available in the British market and doing quite well, which is just the beginning. We just introduced it this year. But we believe passionately, more than choice editing, we believe in choice. And that's why again on all our portfolio and we mentioned the diet cola, but no – we have a no-added sugar of Capri. We are working on low-calories version of our energy portfolio, and so we continue to evolve our offering to enable this consumer choice. And that will remain our policy. And John also mentioned the fact that we have taken commitment to reduce our calorie footprint, especially here in GB. We already achieved a 5% increase. We'll continue with another 5% by the horizon of 2020. So again – and we are in a permanent dialogue with our retailers and customer on this subject.
Ian M. Shackleton - Nomura International Plc: Very good. Thanks, Hubert.
Operator: Thank you. Our next question comes from Bill Marshall with Barclays. You may begin.
William Marshall - Barclays Capital, Inc.: Hi, good afternoon.
John F. Brock - Chairman & Chief Executive Officer: Hi.
William Marshall - Barclays Capital, Inc.: I was just wondering if I could get your updated thoughts on the M&A environment. You've been pretty consistent about your willingness to expand geographically. And I was curious if anything has changed on that front recently. You talked about how foreign currency obviously changes, how you think about share buyback, but you would think in local currency terms, you could leverage through M&A maybe to create shareholder value that way?
John F. Brock - Chairman & Chief Executive Officer: Yeah, let me just comment. I don't think currency really does impact our thinking about M&A. Our view on M&A has been the same since we formed this company some five years ago, which is, we have a very careful and methodical approach to it, a whole host of parameters that we would look at if we were considering some sort of transaction. And as we look at it, if there's something out there that we can do that would create shareowner value in a meaningful way, then it's something we're seriously interested in doing. We've also been very clear that our first priority would be something that is in Western Europe, something that would be broadly contiguous. And so, I think the easiest way to describe M&A is that we have the same approach and nothing really has changed. We're interested at the right kind of transaction creating value.
William Marshall - Barclays Capital, Inc.: Great. Thank you. And then I just had one quick follow-up. On Monster and the expansion in Norway, can you just – what was the timing of that? Did you have that for the full quarter or did that come mid-quarter? And also, is the structure of that agreement the same as your other territories?
Hubert Patricot - Executive Vice President and President, European Group: Yes, it was by the end of the quarter and it's really the beginning. So the bulk of the growth we have seen and you have seen in Monster is really organic growth more than driven by Norway. And the agreement is the same agreement that we have in all of our territories. And as you know, we are very pleased with this brand all of our territories.
William Marshall - Barclays Capital, Inc.: Perfect. Thank you very much.
John F. Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. Our next question comes from Mark Swartzberg with Stifel. You may begin.
Mark D. Swartzberg - Stifel, Nicolaus & Co., Inc.: Yeah. Good morning, gentlemen. Wanted to talk a little more about France. I don't know if it helps to talk more on a first half rather than a second quarter basis, but I'm wondering how France as a split out, so to speak, from the continent, from Benelux and Scandinavia is performing volumetrically. And then if we kind of go deeper into France, could you tell us more about how things are going now that you have this retailer negotiations behind you, the pricing is more clear, and how that plays in relation to what's going on at the consumer level, because it's obviously still challenging? But just trying to get beyond what's masked by comments that are focused more on the continent.
Hubert Patricot - Executive Vice President and President, European Group: Yeah. You mentioned it, the industry was challenged by the excise tax issue in 2012. It has now stabilized. And then there have been this purchasing organization being built at the beginning of the year, end of last year, which has put an additional pressure, I would say, in our – overall for the industry in our tariff negotiation. I think now they are concluded. We see France as a growth engine for our business. It has performed slightly better than the rest of the continent in Q2 and so will it be in Q3. And we have all the elements to continue to grow this business combining innovation, the launch of Finley which we launched last year, continuing to perform, Coke Life, one-brand strategy. And as for GB, the benefit from having the Rugby World Cup this year in September, October, we are starting to activate that in the market. So net-net, we have stabilized and, I would say, normalized relationship now with the trade and we are building on the category to continue to grow.
Mark D. Swartzberg - Stifel, Nicolaus & Co., Inc.: So it sounds like, Hubert, your outlook for that market is for improving and even I think a reversal in share trends in the country of France. Is that a fair understanding?
Hubert Patricot - Executive Vice President and President, European Group: It's a fair understanding.
Mark D. Swartzberg - Stifel, Nicolaus & Co., Inc.: Great. Okay. Thank you.
John F. Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. Our next question comes from Robert Ottenstein with Evercore. You may begin.
Robert E. Ottenstein - Evercore ISI Institutional Equities: Great. Thank you very much. Wonder if you could give us a little more color on sparkling volumes in the key markets Belgium, France and the UK? And then if you could also perhaps make a comment on weather conditions for the quarter compared to the prior year. Thank you.
Hubert Patricot - Executive Vice President and President, European Group: I would say overall, again, for sparkling it was a soft quarter. Having in mind that we had the shift in Easter and we had to cycle the football, the FIFA World Cup last year. And I would say it's a general picture on all the market in general. But having said that, now we have to cycle a much easier comp. As you know, our volume last year Q3 were down 4%. And we have a strong one-brand campaign. We have innovation on the market. We continue to see net positive gain from the launch of Coke Life. And we are building also on our other sparkling portfolio with Finley and Schweppes. So we see growth in the sparkling in the months to come.
Robert E. Ottenstein - Evercore ISI Institutional Equities: Can you give us any color just between the different countries?
Hubert Patricot - Executive Vice President and President, European Group: Mark, if I may come back first on the weather. If anything, we had a very poor month of May, it improved in June. If anything, it's neutral to slightly negative for the quarter as an impact overall, I would say, if you generalize for the full CCE territories. And the next question?
Nik Jhangiani - Senior Vice President and Chief Financial Officer: Color on any specific market?
Hubert Patricot - Executive Vice President and President, European Group: Well, again, the trend was pretty general and generic. I would not highlight one specific market in the trend I described.
Robert E. Ottenstein - Evercore ISI Institutional Equities: Thank you.
John F. Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. Our next question comes from Ali Dibadj with Bernstein. You may begin.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Hey, guys. I have a couple questions. One is around price mix and whether you're seeing a shift from The Coca-Cola Company as it comes to pricing your products out, like what you see in the U.S, understanding that obviously they don't control you and the U.S. they do. But are you seeing philosophical change in your markets, how they talk to you about it, how they help you about it, and similarly around consumers and the competitive environment and retailers to allow you take more pricing going forward? That's question number one. And then question number two is, we continue to see the sparkling versus still dichotomy in terms of growth and clearly there's still a little bit of product launch activity. But I continue to think about your mix as very obviously levered towards sparkling. And do you think you need to do more to get more into stills? Thanks for those two.
John F. Brock - Chairman & Chief Executive Officer: Yeah, on the price mix situation, let me just say we have said any number of times that we're very pleased with the view that The Coca-Cola Company has, which is to focus more on revenue than on pure volume. And they've been talking about that now for several quarters and we heartily endorse that. That's something that we think makes totally good sense for bottlers all over the world. I think when you look at what's going on in the United States and then you think about that compared to Europe, we are starting from different places and so we have to kind of keep that in mind. And I think over the medium term to long term, the change in focus from Coke with more focus on revenue than volume will be good for everybody. It will be good for us. I think we've been pretty clear in saying our program this year, for all of the reasons that we and Coke have worked through together, we think is a bit more of a volume-driven program than a price-driven program. But I think as you look at our long-range plans and you think about the future, you're going to see price playing a bigger role going forward. And we think that's absolutely the right thing for us and for The Coca-Cola Company. You want to comment on consumers?
Hubert Patricot - Executive Vice President and President, European Group: Yes. Clearly, we want to develop our still portfolio at relatively fast pace. And I think the good news, depending where you put energy, we are very pleased with our energy portfolio, it's growing fast double-digits, Monster up 20% to 30%. So we continue to invest and we see a lot of growth coming from this part of the portfolio. On the stills, water, we are also very pleased by the launch of smartwater. And here we are really going on the water segment that with a view to build value, so we are focusing on the IC, and again, we are very encouraged by the progress made by [technical difficulty] (41:35). And we are pretty encouraged by what we see for smartwater, but also we shuffle them in the Benelux. On the water also, we continue to push to balance, better balance our portfolio. Key category, we have Nestlé in France which is doing well too, but we probably need to do even more on the tea segment. So there are some opportunity for growth, but we have already in our portfolio some key growth brands. Capri, the juice drink, and another one, we are up again another double-digit this year. So yes, we are starting from a small base, but the pace and the growth pace is pretty encouraging in our still portfolio.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Thanks very much guys.
John F. Brock - Chairman & Chief Executive Officer: Okay. Operator, we have time for one more question.
Operator: Our last question is from Bill Schmitz with Deutsche Bank. You may begin.
William Schmitz - Deutsche Bank Securities, Inc.: Can you just talk about the phasing of Coke's investments? Like if they hit your markets yet and if you expect a lift when that happens? Because I think there's been some commentary around how they're going to phase that reinvestment they talked about for 2015 and I have a follow-up question on the UK.
Hubert Patricot - Executive Vice President and President, European Group: Yes. Again, we have a joint commitment to invest in our market in the APP of (42:59) 2015 and we will see probably an acceleration of that on the DME above-the-line investment in quarter three coming from The Coca-Cola Company, and again attached to the one-brand campaign. So it started by the end of May and June, but with even more in Q3 investment behind the one-brand campaign, Coke Zero, Coke Life, as well as smartwater, as we were mentioning. So we'd see an increase in that investment in Q3.
William Schmitz - Deutsche Bank Securities, Inc.: Okay, great. Sorry that was already – I got on the call late. And then the second question on the UK, when did the share losses become a concern to you guys? Because I know you've been very rational with pricing and that probably explains some of the Nielson share losses. And then if you're making any progress with the hard discounters, I know you've had some discussions and you're there nominally, but they're clearly taking a fair bit of market share in the UK broadly or GB broadly. So I'm wondering if you think they could be a good growth partner going forward. Thanks.
Hubert Patricot - Executive Vice President and President, European Group: Yeah. First, just to comment on your point, year-to-date, we are gaining share in GB and in NARTD both in volume and value. It was part of our plan and our commitment for the year. Regarding the hard discounters, we see them also as an opportunity because they're growing fast and we are – with ALDI, for example, in GB, but we see growth with all our customers. And like we do in the continent, really our policy is to work as best as possible with all our customer. And we see opportunity also with the more traditional retailers and we are seeing good growth with some traditional, I would say, or the top four of our retailers in GB. So it's a balancing growth we are looking for.
William Schmitz - Deutsche Bank Securities, Inc.: I got it, because the Nielson data suggests that shares are going down, so when I guess when you quote share gains, you're quoting the immediate consumption business as well. Is that where we're different?
Hubert Patricot - Executive Vice President and President, European Group: I'm looking at the Nielsen year-to-date end of June, 50 basis points in term of value share in GB and 40 basis points in term of volume share in NARTD total.
William Schmitz - Deutsche Bank Securities, Inc.: Okay. I'm looking in sparkling, I think in the quarter, it was down about a point. Am I wrong? I'm not going to – I didn't mean to split hairs.
Hubert Patricot - Executive Vice President and President, European Group: Sparkling, without energy, yes, you're right.
William Schmitz - Deutsche Bank Securities, Inc.: Okay. Thank you, guys.
John F. Brock - Chairman & Chief Executive Officer: Okay. Let me just say thanks to all of you for joining us today. We appreciate your interest. And we appreciate you joining the call. Have a terrific day. Thank you.